Operator: Thank you for joining Thunderbird Entertainment Group's Fiscal 2024 Year-End Earnings Call. Frank Alfano from Bristol Capital will read the following forward-looking statement disclaimer.
Frank Alfano : Thank you everyone for joining us. We are here to provide a corporate update and report on Thunderbird Entertainment Group's Q4 2024 Results for the three months and 12 months ended, June 30th, 2024. Speaking on today's call are Ms. Jennifer Twiner-McCarron, CEO and Chair of the Thunderbird Board and Mr. Simon Bodymore, Thunderbird CFO. Ms. Twiner-McCarron will provide a strategic overview of Thunderbird Entertainment Group and Mr. Bodymore will review the company's financial Q4 2024. Following the corporate update and financial review, the call will open for a question-and-answer session. [Operator Instructions]. Alternatively, if you have any questions, you could call 1-604-683-3555 extension 2, or email investors@thunderbird.tv and the company will follow up directly after the call. At this time all lines have been placed on mute to prevent any background noise. I'd like to remind everyone that certain statements made on today's call contain forward-looking information for purposes of applicable securities laws. Forward-looking statements and information discussed on this conference call include but are not limited to statements regarding anticipated, adjusted EBITDA growth, sustained growth, and a return to historical profitability levels. Mermicorno resonating with North American Kids, using the NCIB opportunistically, yielding cost savings, additional revenue resulting from One Animation production, changes in total revenue, future updates from broadcasters and timing for filming new productions. Forward-looking statements are based on estimates and assumptions that while considered reasonable are subject to known and unknown risks, uncertainties and other factors, which are set out in the company's most recent management's discussion and analysis and other public documents filed under the company's profile on SEDAR. Although the company believes that the assumptions and factors used in preparing these forward-looking statements are reasonable, undue reliance should not be placed on these statements, which only applies as of today’s date, and no assurance can be given that such events will occur in the disclosed timeframes or at all. Except where required by law, the company disclaims any intention or obligation to update or revise any forward-looking statement, whether as a result of new information, future events, or otherwise. This conference call is being webcast live and the archive will be available on the company's website at www.thunderbird.tv following today's call. Please note that Thunderbird reports in Canadian dollars unless otherwise stated. Ms. Twiner-McCarron will now provide the corporate update.
Jennifer Twiner-McCarron : Thank you so much, Frank. Hello, and my name is Jennifer Twiner-McCarron. I am the CEO and Chair of Thunderbird Entertainment Group. On behalf of the company, I'd like to thank you all for joining today's call to discuss Thunderbird's fiscal 2024 year-end results. Thunderbird CFO, Simon Bodymore is with me, and we appreciate you taking the time to hear the company's earnings updates. Once Simon and I are finished, we will happily answer any and all of your questions and provide clarity where needed. While Simon will go over the numbers in more detail, I want to open by sharing that we are thrilled to end our fiscal 2024 on solid footing, exceeding our forecasted targets and returning to profitability with three consecutive profitable quarters. Our strong Q4 results and overall fiscal 2024 performance underscores that Thunderbird remains a healthy, successful business, even with today's challenging media industry headwinds. Once these media industry headwinds eventually become tailwinds, which they will, no one is better positioned than Thunderbird to soar. With great visibility to the future, we are lined up to build significant value for our shareholders with a robust content pipeline and incredibly strong industry relationships. This brings me to our update on the work conducted by the Strategic Advisory Committee. After a very thorough strategic review process, which included working with ACF Investment Bank, the Board and the Special Committee, which was formed to oversee and run the process, unequivocally determined that we did not see anything more compelling than our own exciting growth plan and executing on our targeted growth, along with exploring the possibility of uplifting to the TSX to increase visibility and liquidity is currently the best way to maximize value for our shareholders. As evidenced by our strong fiscal 2024 year-end numbers, we have fared extremely well in a tough market. Our Board and Special Committee is unanimously aligned on the future focus and direction of the business, and we consider the review process to be complete at this time. We remain committed to growth and to seeking increased liquidity wherever possible for successful outcomes for both the business and our shareholder base. We will always be open to new opportunities and we'll continue to have those conversations at all times. I will add that everyone that looked at our company Thunderbird found us to be a true gem of a company with something really special happening. There are just headwinds within the market at this juncture. We want to thank our shareholders for their patience and commitment to Thunderbird, truly thank you all, as we diligently evaluate the best pathway forward for the company. While the service work remains very strong for our company, our IP ownership is growing as evidenced by the recently announced, The Day You Begin, a brand new animated original special from Atomic Cartoons, which is heading to PBS KIDS. The Day You Begin is based on the New York Times bestselling picture book of the same name by MacArthur Fellow, National Book Award, and Newbery Honor-winning award author Jacqueline Woodson. Thunderbird manages and controls global media distribution rights for this family special, which showcases the excitement and trepidation experienced by children on their first day of school. Thunderbird Distribution will debut the special to prospective international buyers at global sales market MIPjunior/MIPCOM, which is taking place in Cannes, France later this month. Myself and our President of CP and Global Distribution, Richard Goldsmith will be attending. Our strategy also includes working on production that serve different genres to maximize our reach and access new audiences. Kids and family does remain the stickiest with Ampere Analysis recently reporting that a robust lineup of kids content reduces the likelihood that American households will [cancel] (ph) the streaming services. We're so proud of Atomic's strong foothold in this domain, but also continue to see increasing opportunity in factual and scripted. In addition to balancing the types of productions we work on and the genres we cater to, Thunderbird distribution and brands also diversifies our business and product offerings while expanding our reach. Officially launched at Licensing Expo in fiscal 2023, we used this opportunity to showcase several key properties on a global stage, including Mittens & Pants, Mermicorno, Starfall, and Highway Thru Hell. One year later, here are some of the updates. Thunderbird acquired the global media and consumer products right to the adorable preschool series, Mittens & Pants. Following this Season 1 was sold to buyers across 34 territories, including France TV and Warner Brothers Discovery in fiscal 2024. In addition, Mittens & Pants has also been adopted by several US streaming platforms, including NBCU’s Peacock, Roku, Tubi, public library-affiliated streamer Kanopy, and Children's Free ad-supporting streaming TV or FAST streamers Happy Kids, Kidoodle.TV, and Sensical, and I could keep going. This series, International [Pawprint] (ph), just continues to grow. And in fact, we recently announced sales to platforms that include the beIN, MENA Season 1, Norway season 1 and 2, Alibaba's Youku and China Season 1 and 2. And additionally, China based content distributor, Beijing 24, will be selling both seasons of the series of the territory. I go over all of this just to show you the reach that a show with more than 29.2 million views and followers and comments on all of this continues to explode. With Mermicorno: Starfall Series set to debut in early 2025, the teams [involved are] (ph) incredibly busy. In fiscal 2024, we announced new territory distribution deals in the US with HBO Max, with the UK Pop, Canada, Chorus Entertainment for YTV, STACKTV and TELETOON+, LATAM, Max and Cartoon Network, and Southeast Asia also Cartoon Network. Thunderbird Brands and tokidoki also announced a partnership with renowned toymaker Jazwares to act as a global master toy licensee for a number of distribution channels, including mass market e-commerce and direct-to-consumer platforms. This comprehensive licensing program will include play sets – anyhow -- lots of figures, Squishmallows, Halloween and pet costumes and more. Nelvana was also named as Mermicorno: Starfall’s Canadian licensing agent, covering all major categories outside of toys and publishing in Canada. And this summer, our LA team attended San Diego's Comic-Con and had a chance to experience firsthand the excitement that is building for this brand and series. And GPM, Highway Thru Hell, absolutely knows no bounds. This series is so special and represents one of the longest running unscripted series in Canada. In fiscal year 2024, the hit GPM series reached another major milestone and was renewed for Season 14 on Discovery Channel. Season 13, meanwhile, is in post-production and will exceed the historic 200th episode mark to reach 204 episodes. GPM and GPM President and Head of scripted Lindsay MacAdam also oversaw and shot the widely anticipated movie for Tubi Original called Sidelined: The QB and Me, which is premiering on November 27th starring Instagram sensation, Noah Beck, who has over 30 million followers and Siena Agudong, famous from Resident Evil franchise. Banijay Rights also introduced a dedicated Highway Thru Hell branded FAST channel that features the first 10 seasons of the long running hit docuseries. This channel, which also features GPM's Heavy Rescue 401, launched in March in the UK and in Australia in April. Recently, Banijay Rights also acquired segment rights for Highway Thru Hell. This includes an official Highway Thru Hell YouTube channel and short form segments published on social media platforms. As we know, everyone is looking for those bite-sized, digestible content, including Highway Thru Hell’s official show page on Facebook. Bell Media also launched the CTV Gridlock FAST channel, which features classic episodes of Highway Thru Hell and the entire series of Heavy Rescue 401. It should be noted that Thunderbird is further expanding its presence on FAST channels through several productions, including Kim's Convenience Season 2 of the pop culture focused docuseries Celebrity Style Story, as well as [trades] (ph) with Season 1 recently being picked up by Tubi. In addition, Thunderbird's distribution Mittens & Pants is also reaching new audiences on FAST channels as well. As well as our other adorable series which we own called BooSnoo!. Last month, we announced new sales of BooSnoo! with the series and its little red ball, rolling into nine more territories, including on FAST channels like Tubi and Happy Kids, as well as other streamers like Peacock. On a related note, we're thrilled to share that BooSnoo! recently received a coveted Common Sense Selection for families and seal from Common Sense Media, the leading source of entertainment and technology recommendations for families. We're so proud to announce that recently Thunderbird was again included on the Globe and Mail list of Canada's top growing companies with a verified three-year revenue growth of 105%. Following a year of navigating industry headwinds, this recognition is significant and underscores why we believe standing alone at this point and going forward is our most optimistic option. We're also so proud of the growth that we have achieved and are super excited for all that is to come, which I will share more of later. Again, I can't underscore enough when these media industry headwinds inevitably become tailwinds, no one is better positioned than Thunderbird [Distort] (ph). With this, I will now pass things on to Simon to go over the numbers.
Simon Bodymore : Thanks, Jen. And hello, everyone. I'll spend some time now walking through the key highlights of our fourth quarter and full year results. Revenue for the fourth quarter was $51.8 million compared to $37.7 million for the same period last year. That's a 37% increase. This increase was driven by strong licensing and distribution revenue with a delivery of 16 episodes of 2 unscripted shows, Dead Man's Curse Season 2 and Style Season 2, along with revenue being generated from Season 2 of our scripted show, Reginald the Vampire. In addition, production services revenue was $6.2 million or 19% higher in the fourth quarter this year than the previous year, coming in at $38 million. As a result of a strong performance in our animation division, it was a contribution from a scripted production services engagement we began in a quarter called Sidelined: The QB and Me, a film based on the smash Wattpad novel. Revenue for the full year was $165.3 million, less than 1% lower than the $166.7 million we recorded last fiscal year and slightly ahead of the guidance we provided at the end of the third quarter. Production service revenue grew $5.8 million, or 5%, during the year to $132.6 million, with the majority of this revenue coming from our animation business. While licensing and distribution revenue fell year-on-year by $7.2 million or 18% to $33 million as a result of fewer projects being produced and delivered as that side of the business really encountered numerous market challenges that resulted in the slowdown of the commissioning of new shows. Our gross margin improved slightly year-on-year from 22.2% to 22.7%. Our gross margin fluctuates over time depending on the underlying mix of volume of work being carried out, but these results are in-line with our expectations. For the fourth quarter, we recorded our third straight quarter of positive earnings with net income of $2.5 million. This compares to a loss of $2.6 million for the same period last year. Full year net income was $2.4 million compared to a net loss of $5 million in the prior year. This year-on-year improvement was driven by the comprehensive cost-cutting measures that we put in place during the earlier part of the year, where the difficult decision was made to reduce staff levels in some areas of the business, as well as cut back on discretionary spending in areas that were not expected to hurt our ability to generate new business or service existing customer commitments. These initiatives resulted in cost savings of more than $3 million being recognized and were instrumental in our efforts to reduce the overall general and administrative costs of the business, which came in at $21.5 million for the current year compared to $25.9 million last year. We continue to maintain a disciplined approach to managing costs as we move into 2025 and aim to implement further savings in discretionary areas wherever possible. Fourth quarter adjusted EBITDA increased to $7 million compared to $0.7 million in the same period last year. And on an annual basis rose 30% year-over-year from $12.8 million to $16.7 million. The annual adjusted EBITDA margin improved by 240 basis points rising to 10.1% from 7.7% last year. As we look back on the year just completed, we're incredibly proud of the results that we've been able to achieve, especially when considering the numerous challenges the industry has faced. And as we move forward, we remain optimistic and see opportunities to return to top-line growth. We continue to have good visibility throughout 2025 and into 2026 through ongoing production service contracts, as well as with many of our ongoing unscripted titles, which have already received commitments for future series to be produced. In addition, we expect to begin to see the results of the investments we've made during the last 18 months in a couple of our own IP animated shows, Mermicorno: Starfall and Super Team Canada, which are both expected to add during the latter part of fiscal 2025. The fiscal '25, we're targeting revenue growth of 20% and adjusted EBITDA growth of over 10%. Adjusted EBITDA is expected to grow more slowly than revenue in the upcoming year, as a result of the mix of work being undertaken, especially on the non-animation side of the business. While that part of the business is traditionally focused on own IP creation, with the current market headwinds we've seen, we've taken on additional production services work which generally attracts a lower margin. If the market settles, we'll consider taking on more of this work where it makes sense, as it provides a great opportunity to highlight the adaptability of our teams and the high quality work we can produce, as well as introducing us to new customers. As we enter 2025, we do so with a strong balance sheet that carries no corporate debt, providing the financial flexibility to pursue growth opportunities as they present themselves. Coupled with disciplined financial oversight, we believe we're well-positioned to succeed in an evolving market landscape. And with that, I'll pass you back to Jen to continue with our corporate updates.
Jennifer Twiner-McCarron : Thank you so much, Simon. As this corporate update for the entire fiscal, we will briefly discuss things more holistically. Throughout the fiscal we worked on 36 productions. At the end of Q4 on June 30th, 2024, the company had 24 programs in various stages of production and was working with 17 clients. Of the 24 programs in production, six were Thunderbird IP and 18 were service productions. Throughout fiscal 2024 Thunderbird Kids and Family producing under Atomic was in production on several animated series for major streamers and broadcasters including Princess Power Season 2 and 3 for Netflix, CoComelon Lane for Moonbug and Netflix. Marvel's Spidey and His Amazing Friends, Season 2, 3 and 4 for Disney Junior, My Little Pony: Make Your Mark, Chapter 6 for eOne/Hasbro. The Mindful Adventures of Unicorn Island for Headspace, Zombies, the Re-Animated Series for Disney TVA, LEGO Jurassic Park: The Unofficial Retelling for NBCUniversal, and Molly of Denali Season 4 for PBS Kids, among others. Examples of productions worked on under the Atomic Originals umbrella include Rocket Saves the Day for PBS Kids, Mermicorno: Starfall for Warner Brothers Discovery, and Super Team Canada for Crave. Super Team Canada is Thunderbird's first adult animated original series and also Crave's first commission of an original animated series for adults. Produced alongside Will Arnett's Electric Avenue and co-created by Canadian comedy writers Robert Cohen and Joel Cohen, were excited to see the series debut in early 2025. Thunderbird Unscripted, producing under Great Pacific Media, was in production on several amazing series in fiscal 2024, including Dead Man's Curse, Seasons 2 and 3 for History Channel, Styled Season 2 for HGTV Canada and Hulu, Wild Rose Vets, Season 1, which is a spin-off of Dr. Savannah Wild Rose Vets for APTN and Cottage Life TV. Timber Titans Season 1 and 2 for Discovery. Highway Thru Hell Seasons 12 and 13 for Discovery, Rocky Mountain Wreckers Season 1 for the Weather Channel US and Discovery in Canada. What an amazing assortment of great series. In fiscal 2024, Great Pacific Media also unveiled all new original docuseries, Rocky Mountain Wreckers, which follows the adventures of four family-owned heavy-wrecking businesses across Colorado, Utah, and Wyoming. The series has been commissioned by The Weather Channel in the US, with Bell Media serving as a Canadian production partner and owning the rights to the show for Discovery Canada. Season 1 is set to premiere in early 2025. Great Pacific Media's Deadman's Curse marked several exciting milestones. And If you haven't had a chance to check this series out, I really think you should. Following the success of Season 1, the team was in production on both Season 2 and 3, with Season 3 scheduled to premiere in 2025 on History Channel. GPM also worked on several scripted projects in fiscal 2024, including Sidelined: The QB and Me, which I went over. But I will mention that this Wattpad movie is, Blue Fox Entertainment is managing international distribution for this production and has already announced sales of QB and Me to partners in Europe, Latin America, South America, and more. Blue Fox Entertainment also acquired international distribution rights outside of Canada and the US for GPM and Wattpad series and Young Adult Film Boot Camp, which is based on the hugely popular Wattpad story by Gina Musa. Boot Camp premiered in August in select theaters and is now available on streaming services in both the Canada and US. Aside from this and fiscal 2024, we had 12 scripted series in active development and three projects in active network development. Further company achievements in fiscal 2024 include Atomic placing third on the annual Kidscreen Hot50 list of top production companies coming in as the top North American company. Thunderbird ranked 12 on Playback's Indie List of 2024. GPM receiving five 2023 Leo Awards. Reginald the Vampire, being awarded an environmental media association gold seal for its dedication to sustainability. Colin Beadle, our VP of Human Resources at Thunderbird, was named one of the top HR leaders in Canada Tech and ScaleHR. And Pinecone & Pony received a Canadian Screen Award, Best Picture Editing and Animation Category for the episode, “The Sturdy Stone”. In addition, GPM's companion podcast, Deadman's Curse, Slumach’s Gold received several recognitions of its own. The podcast hit Number 4 on Apple's history charts, won three 2023 Signal Awards, and was named one of the best podcasts of the year by Amazon Music. With all episodes of season 2, titled Deadman's Curse: Volcanic Gold now available, this podcast continues to be a huge hit with listeners and the greater industry. It has also just been nominated for a 2024 Signal Awards for Best History Podcast. As a management team, we see firsthand the deep capabilities of teams across the company. And I'm so proud when third-party [outlets] (ph) and organizations recognize the team's huge talents and efforts. They truly are cut above something special is happening here. This concludes the corporate update. However, before we open things up for questions, I would like to share my gratitude for the company that we have created. We've built it from the foundation and we continue to build. We have the right individuals in place to carry Thunderbird forward. We also have the right mix of projects and business offerings, all of which exemplify our dedication to delivering high quality content. As Dana Walden, co-chair of Disney Entertainment recently told Bloomberg, quality endures and breaks through. That's across every category of program. That's a North Star for Disney and it's a North Star for Canada and for Thunderbird too, as evidenced by our success this year. We are committed to delivering exceptional results. And with everything in us, we want to just maximize shareholder value as a Thunderbird story continues. Thank you so much for taking the time to listen in. Simon and I will happily now answer any and all of your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Michael Kay from Kay Associates. Your line is open.
Michael Kay: Hello.
Jennifer Twiner-McCarron: Hi, Michael. Hello. Hello, we hear you.
Michael Kay: Oh, thank you. Congratulations on the very improved, excellent quarter. I'd like to know what is the company doing, if anything, to make its story, especially now that it's turning positive, visible to the larger investment community, and what are the prospects of getting listed on the Toronto Exchange and NASDAQ? I think that's very important to disseminate the creativity of the company, the improved financials, because the stock price has been really pathetic for several years. So thank you for your response.
Jennifer Twiner-McCarron: No, Michael, I think you've hit it on the head. As we've come out of a proxy situation, which is now resolved for the most part. We're all rowing in the same direction here. We all want the same thing to maximize share of the value. We haven't been able to market the company as a public company coming out of a process. So now in earnest, Simon and I are going to hit the investor relations trail big time to get our amazing story out to your point, as well as we noted, and uplifts to the TSX to increase our visibility to prospective new shareholders. Simon, did you want to add to that?
Simon Bodymore: Yeah, absolutely. So Michael, I think this is something that we have been thinking about for some time as we've been working up to this call to make sure that we have a plan in place and we don't just start from a cold start here. First things first, we have to get on the road, we have to get in front of as many people as possible and just begin telling the story, retelling the story, and get people excited again about the prospects of the business and what we're doing. In conjunction with that behind the scenes work, we have to put in place to kind of get that up list process moving. We've already started steps on that from behind the scenes. We want to make the next six months very different to the last six months in terms of activity levels that you see with us out in front of people talking, raising a profile, and doing everything we can to improve the liquidity of the shares here.
Michael Kay: Okay, thank you very much. I think we're on the same page and it will be helpful to a little concerned if you successfully follow through and achieve those goals.
Jennifer Twiner-McCarron: Yeah, thank you, Michael. It's a really apt question. We appreciate it.
Operator: [Operator Instructions] Your next question comes from the line of David McFadgen from Cormark Securities. Your line is open.
David McFadgen: Hi everyone, thanks a lot. I have a couple of questions.
Jennifer Twiner-McCarron: Hi David.
David McFadgen: Hey, how are you doing?
Jennifer Twiner-McCarron: Good, good to hear your voice.
David McFadgen: Oh, thanks. So it seems like the margins, if I understood you correctly, will be down a little bit like the gross margin just because you're taking on more service work. Is that correct?
Simon Bodymore: That's correct. Yeah, as we look forward, you know, for the rest of 2025, we're kind of looking at the mix of work that's out there and I think there'll be more services than own IP on the kind of non-animation side so that will have some margin pressure.
David McFadgen: Okay, so when I look at your fiscal ‘24 results of the service revenue was about 80% so we should expect that to maybe pick up a little bit as it pertains to total revenue?
Simon Bodymore: Yes, that should be the case. The full extent of how much the mix will change is a bit tough to tell just because we're still -- we're not giving up on ongoing after the own IP work, it's just it's taking longer to close. But there will definitely be more of a swing to make it a bit more weighted towards professional services.
David McFadgen: Okay. So as we look to, I know this is looking out a bit, but as we look to fiscal 2026, assuming the content market continues to improve, then would it be reasonable to expect that your [business] (ph) would tilt back to be a little more proprietary versus service work just given by then, stuff will be green that and so on?
Simon Bodymore: Yeah, definitely the hope. You know, it's really tough looking that far out right now. There's so many bumps in the road in this industry right now that we're having to be creative and opportunistic and take any and all work that comes along. But the hope would be that we get back to more normalized patterns and the green lights speed up a little bit and networks begin to commission new things quicker, again, as we move forward. So hopefully it's a one year, kind of 2025 period where we're under this margin pressure, but until we get further on, we can't tell for sure.
Jennifer Twiner-McCarron: Yeah, and to add to that, we've got an amazing slate that is, I think, hugely compelling and getting a lot of attention. We're just trying to be as transparent as possible about the mix of work we're seeing, but we've got a ton of IP teed up that has a really great chance of being launched. So I'm feeling very confident about that.
David McFadgen: Okay. And then when we look at free cash flow, at least the way I calculate it, it was pretty consistent with prior year. Should we expect that the free cash flow would increase in fiscal 2025?
Simon Bodymore: It should improve in fiscal 2025. Yes, as we grow and expand EBITDA and revenue, it should improve a little bit, yes.
David McFadgen: Okay, and then just on the quarterly cadence, it's tough to predict on the quarterly basis, but can you just kind of give us an idea and at least in terms of revenue, how you think the business will unfold in fiscal 2025?
Simon Bodymore: Yeah, so we're not going to give specific guidance on quarter by quarter revenue, but what I will say is as we continue to grow, the growth will come in phased over time. So the back end of the year will again be higher, I would expect than the first half of the year. So definitely some weight into the kind of third and fourth quarter.
David McFadgen: Okay, all right, thanks so much.
Jennifer Twiner-McCarron: Thank you, David.
Simon Bodymore: Thank you David.
Operator: And there are no further questions. I will now turn the call back over to Jennifer Twiner-McCarron for some final closing remarks.
Jennifer Twiner-McCarron : Again, thank you for being on this journey with us. Thank you for sticking through with us. I can't tell you how much we appreciate it. If we didn't provide clarity in any area or you don't already have a follow-up one-on-one set with us. Please reach out and we are happy to set a meeting with everyone on this call, a separate one-on-one if so desired. Thank you again for joining us. Thank you, Rob.
Operator: This concludes our call today. If you have any questions, please call 1-604-683-3555 or email investors@thunderbird.tv. Thank you.
Jennifer Twiner-McCarron : Thank you, Rob.